Operator: Hello and thank you for standing by for Tuniu's Third Quarter 2015 Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. Today’s conference is being recorded. [Operator Instructions] I would now like to turn the meeting over to your host for today's conference call, Senior Director of Investor Relations and Strategic Investment, Maria. Please go ahead.
Maria Xin: Thank you and welcome to our third quarter 2015 earnings conference call. Joining me on the call today are Donald Yu, Co-founder, Chairman and Executive Officer; Alex Yan, Co-founder, President and Chief Operating Officer; and Conor Yang, Chief Financial Officer. For today's agenda, management will discuss business updates, operation highlights and financial performance for the third quarter of 2015. Before we continue, I refer you to our Safe Harbor statements in earnings press release which applies to this call as we will make forward-looking statements. Also this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all the figures mentioned during this conference call are in RMB. I would now like to turn the call over to our Co-founder and the Chief Executive Officer, Donald Yu.
Donald Yu: Thanks Maria. Good day everyone. Welcome to our third quarter 2015 earnings conference call. I am pleased to report that we delivered excellent growth during the third quarter of 2015 with packaged tour GMV and net revenues increasing by 122% and 128% year-over-year respectively. Our growth rates continue to significantly outpace our industry peers and the overall growth of the travel industry. We’re also proud to announce the strategic investments by Hainan Airline Tourism, a leading Tourism Company in China with a reach [indiscernible] travel related resources throughout the travel supply chain in China. Following the US$500 million cash investments priced at US$15.5 [indiscernible]. Hainan Airline Tourism have becomes our largest shareholders with over 24% ownership. Our strategic cooperation with Hainan Airlines Group will benefit us in a number of ways. Following the partnership, we will be able to directly procure a number of Hainan Airline Group's airline and hotel resources at a preferential price. Some of the resources that will now be directly available to Tuniu will include Hainan Air, Capital Airlines, [indiscernible] and various hotel resources under Hainan Airline Group. This is a significant step in improving our direct procurement capability and this allows to directly procure competitively priced air ticket and to assemble it in our packaged tours. Tuniu now have the resource to better connect our 200 departure cities to our 140 destination countries and to better provide high quality travel products to meet the demands of our customers. Our business partnership with Hainan Airline Group marks the beginning of a new era for Tuniu. We will have improved access to resources throughout the travel industry and notably the ability to better connect our own resources. Going forward, the new alliance between Tuniu and Hainan Airline Group will allow additional catalysts that will support our rapid capital growth. Now I will walk through some of our key strategic focus that are essential to ongoing development of Tuniu. These include growing our financial services, capturing market opportunities, continuing our regional expansion, enhancing our direct procurement capabilities and improving our technology. First I would like to talk about one of largest initiative, financial services. Our financial services offering closely complement our all year travel business. We currently offer a range of financial products and services to both our customers and our suppliers. These financial services are designed to dramatically support the overall development of the leisure travel market in China promoting users to travel and supporting suppliers to growth. I’m pleased to announce that our progress in financial services continues to gain traction in both our customers and our suppliers. On the customer end, our traveling - travel financing product had made traveling more successful for many by enabling customers to travel with their initial down payment. This product has been especially popular among the younger generation of travelers who are more price sensitive. In addition to offering financial products, Tuniu also offers a range of wealth management products and insurance products to our customers. On the supplier side, we aim to provide our co-supplier partners with the working capital to provide a high quality travel products at an increased growth. Combined both our customers and supplier related financial services, total transaction volume maintained at over 200% quarter-on-quarter growth rate during the last three quarters with monthly transaction volume reaching over RMB1 billion in October. Additionally because of our large attraction [ph] update, our suppliers and customers there have been no default for any of our loan related products. In addition to the offering of financial services, Tuniu has been implementing a wide range of complementary travel related services and the products such as rail ticketing, air ticketing and hotel booking for our customers, and our packaged tour for business continues to rapidly grow. We continue to make long-term investments in additional business categories in order to create an ecosystem that will complement our whole year travel business. We strongly believe that these investments will grow into our competitive advantage and make positive contribution to our profitability in the long run. In terms of the leisure travel market, there continues to be many opportunities within the supply chain. In the future as our packaged tour business continues to replicate skill and at the same time as Tuniu becomes increasingly integrated into the supply chain, we will unlock additional profitability potentials. Once our long-term investments become fully integrated into our leisure travel ecosystem, we'll expand our margins to begin an upward trend. Now I would like to transition to our progress in regional expansion, which continues to be on pace with our plan. As of the end of October, Tuniu had 140 regional centers across China. That served as half of customer acquisitions and product localization. The positive impact of our regional centers strategy is increasingly clear as we continue to expand our coverage and increase their efficiency. During the third quarter, GMV contribution from the lower tiered cities surpassed the contribution from first tiered cities for the first time. Similarly, the regions covered 58 new regional centers that we opened in 2014 contributed to 17% of our Tuniu GMV. This is up from 6% during the third quarter of 2014. We are excited about the results of our regional expansion path. Going forward increasing the coverage of our regional centers and increasing the efficiency of our established centers will add Tuniu’s call competitive advantage. As our regional expansion continues our direct procurement capability is also improving. Last Monday, Tuniu had its Annual Global Procurement Conference and invited our procurement suppliers from all over the world. The conference was very successful as we were able to sign a number of new suppliers to our direct procurement program and to expand business relationship with existing suppliers. Tuniu’s direct procurement products have always been structured based on the extensive base we have with our travelers demand characteristics and assembled by leveraging our extensive relationship with travel service suppliers. During October and November, Tuniu’s overall direct procurement reached one-third of our total GMV, up from the 25% during the second quarter of 2015. We continue to receive benefits from our increased direct procurement capabilities in terms of pricing competitiveness and as well as the ability to more closely and quickly match the demand of our customers. As example of our direct procurement product is the air ticket plus local tour package which was initially introduced in 2012. This product bundled air ticketing with destination based local tours in order to allow organizers towards – to efficiently gather travelers from various cities and to growth locally. While traditional organizer tours require a minimum number of sign ups, our direct procured package has remote less constraints. During the third quarter of 2015, direct procurement product contributed to approximately 60% of our domestic packages towards GMV. Lastly I want to touch on mobile and technology. In the third quarter of 2015, mobile contribution remains strong while mobile convergence rate continues to be an option. We remain committed to staying ahead of the mobile chain by continuously improving our mobile technology platform so that our customers have a seamless booking experience and have access to crucial travel information on the go. In addition to improving our mobile application for our customers, we have also upgraded the back-end systems for our suppliers. We introduced the latest order of our N-Booking system which is an Internet and mobile supply management system for our suppliers. The new orders of the N-Booking system features interface improvements, infrastructure upgrades as well as English language support for our global suppliers. Additionally, we introduced our own API for N-Booking systems, now our suppliers can have Tuniu integrated into their systems. We’re excited about the progress that Tuniu has made over the years while leisure travel market continues to grow, we will work hard to strengthen our long-term call competitiveness, our progress in brand development, regional expansion, direct procurement, complementary travel related services and the mobile technology are all playing important role in our development. With our order customer contribution rates reaching more than 37%, along our GMV during the third quarter up from 30% during the same period last year. We are confident that Tuniu will be able to continue providing high quality new travel product to our customers. I will now turn the call to over to Conor Yang our CFO for the financial highlights.
Conor Yang: Thank you Donald and hello everyone. Before I go over the financial highlights, I would like to give a general update on the progress of our long term investment. As Donald mentioned above, these business continue to grow rapidly. GMV from our accommodation booking is up more than 300% quarter-on-quarter in the third quarter while transportation ticket GMV is up more than 200% quarter-on-quarter. Our new strategic partnership with Hainan Airline Tourism will also enhance our capability in these business categories. I will now walk us through our third quarter 2015 financial results in greater details. Please note that all the mandatory amounts are in RMB unless otherwise stated you can find a U.S. dollar equivalent of these numbers in our earnings release. Starting from the third quarter of 2015 packaged tour gross bookings for the quarter increased by 122.2% year-over-year to RMB 4 billion including 60.8% from outbound tours. Organized tours accounted for 74.9% of the overall gross booking in this quarter. For third quarter, net revenues were RMB 3 billion, representing 127.5% year-over-year growth. Revenues from organized tours substantially all of which are recognized on gross basis were up 124.5% year-over-year to RMB 2.9 billion and accounted for 96.7% of our total net revenues for the quarter. The increase was primarily due to the rapid growth in the demand for travel to certain international destinations, such as North America, Japan, Australia, Middle East, Africa; Europe and for the domestic tours. A number of trips for organized tours excluding local tours increased by 142.1% year-over-year to over 635,000. Revenues from self-guided tours, which are recognized on a net basis were up 165.8% year-over-year to RMB 67 million and accounted for 202% of our total net revenue. The increase was primarily due to the growth in travel to certain islands and domestic destinations. The number of trips for self-guided tours increased by 181.8%, year-over-year, to 369,000 in the third quarter of 2015. Other revenues which are recognized on a net basis were up 485.1% year-over-year to RMB 44.6 million, primarily due to the rise in service fee received from insurance company, fee for the advertising services and revenues from other travel related products and services. Gross margin for the third quarter of 2015 was 5.6% compared to 6.1% in the same period of 2014. The decline in gross margin was primarily due to Tuniu’s competitive pricing strategy and higher cost associated with new regional service centers and in a newly added tour advisors. Operating expenses for the third quarter of 2015 were RMB 526.9 million, up 172.8% year-over-year, excluding share-based compensation and amortization of acquired intangible assets. Non-GAAP operating expenses were RMB 490.2 million, representing a year-over-year increase of 166.5%. Research and product development expenses for the third quarter of 2015 were RMB 87.1 million, up 214.5% year-over-year. The increase was primarily due to investments for the implementation of additional product categories such as airline finance services, accommodation, reservation and transportation fixing increase in direct procurement related personnel at regional service centers, improvement of online technology, and rise in technology and product development personnel related expenses. Sales and marketing expenses for the third quarter 2015 were RMB338 million up 180% year-over-year. The increase was primarily due to branding campaigns and advertisements for our mobile business development, expansion of our VIP customer services center and amortization of acquiring intangible assets from previously announced transaction with JD.com. General and administrative expenses were RMB103.9 million in the third quarter of 2015, a 125.3% year-over-year. The increase was primarily due to an increase in the headcount of our administrative personnel as a result of our original business expansion. Net loss attributable to ordinary shareholders was RMB433.3 million in the third quarter 2015. Non-GAAP net loss attributable to ordinary shareholders which excluded share-based compensation expenses and amortization of acquired intangible assets was RMB396.5 million in the third quarter of 2015. As of September 30, 2015, the company had cash and cash equivalents, restricted cash and short-term investments of RMB4.6 billion. Cash flow generated from operations for the third quarter of 2015 was RMB111.04 million. Capital expenditures for the third quarter of this year was RMB54.6 million. Now, let me provide topline guidance for the fourth quarter of 2015. As Donald mentioned earlier in the call, we are confident about the outlook for the fourth quarter of 2015 and expect the trend of accelerated growth in our topline to continue, as our investments in regional expansion, product offering and marketing initiatives started to pay off. Tuniu currently expects to generate revenues in the range of RMB1.81 billion to RMB1.86 billion in the fourth quarter of 2015, representing a 95% to 100% year-over-year increase. Please note that this forecast reflects Tuniu’s current and preliminary view on the industry and its operations, which is subject to change. Thank you for listening and we're now ready for your questions. Operator?
Operator: Thank you. The question-and-answer session of this conference call will start in a moment. [Operator Instructions] Thank you. Our first question is from David Chan from Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi. Good morning. This is George calling on behalf of David. Thank you very much for taking our questions. So the question is regarding your cooperation of investment from the Hainan Airline Tourism Group. With them being your or becoming your largest shareholder and they also have the travel related Asia assets, for example in Kaisa and also Night Dragon, would there be any further capital market cooperation with more domestic market -- a capital market exposure going forward? And that's on the capital and also regarding on the cooperation on the operational level because you mentioned that you will enjoy preferential rates from Hainan Airline Tourism Group. I wonder if you could potentially get some preferential treatment also from the larger Hainan Airline Group meaning outside just the tourism entity and what kind of margin improvement if any we can expect from that kind of preferential treatment? And also will this investment and cooperation entail any issue for your cooperation with other suppliers in general. Thank you very much.
Conor Yang: Yes, first of all we're very excited about this investment from Hainan Airline Tourism and in fact they're 100% owned by the Hainan Group and they have several listed entities in the domestic market and right for the time being we'll just continue to build up our business and we're open for any possible opportunity in the future. In terms of the preferential pricing from air ticket, actually we'll include all the Hainan Airline Group including Hainan Airlines, Capital Airlines, Hong Kong Airlines, and many, many other airlines they have and from that we'll eventually translate to like more competitive pricing to our customers. Yes, certainly we think that they have a rich resources -- many travel related resources including airlines, hotels, and like our attraction area assets. We're excited that we should be benefitted from leveraging their relationship or the relationship with Hainan Airline Group.
Unidentified Analyst: Got it. Thanks, but is there going to be any issue for your cooperation with other suppliers going forward after this cooperation and investment from Hainan?
Conor Yang: Yes, we don't think there will be any impact from our cooperation with other airlines. The other big three airlines in China are [Sky] [ph] Enterprise. Hainan is more like [indiscernible]. So we'll continue to work with other airlines definitely with the strategic investment from Hainan Airline Group, while they will help us in our overall air transportation resources.
Unidentified Analyst: Got it. So you'll transfer -- thanks, thanks, so you'll translate the preferential price to your -- to a better offering to your customers. That means your gross margin probably you won't see any significant improvement in terms of gross margins right. Just want to confirm that.
Conor Yang: We will continue to grow our market share and in terms of the margin improvement, we'll confirm our other new product expansions as Conor mentioned earlier on my financial services and transportation ticketing, hotel booking and other new product categories. Thank you.
Unidentified Analyst: Got it. Thank you very much. That's very helpful.
Operator: The next question is from Evan Zhou from Credit Suisse. Please go ahead.
Evan Zhou: Hi. Good morning. Alex, Donald, Conor, thanks for taking my questions. First question regarding the -- you mentioned that in your prepared remarks that we do expect the overall gross margin level to improve down the road with -- I think with more direct contribution from the -- from direct procurement and also from internet finance products. I think up to this point I think we're yet to see like a meaningful impact to our gross margin trajectory yet. So I was wondering like can you maybe quantify a little bit let's say how much within the gross margin that we're kind of benefitting from the direct procurement and how much we're giving it back to the consumer with a good pricing and also how much we are having like a gross margin enhancement from our internet finance product. That will be very helpful. Thank you.
Conor Yang: Yes, even you'll see that on a year-over-year basis, gross margin slightly below same quarter of the last year, but if you look at this year, the first quarter, second quarter and third quarter, our gross margin continues to improve, and from direct procurement, we do [indiscernible] short term whole value chain that will translate into a better pricing to get back to the customers. And this quarter if you look at our other revenue, actually it grew at more than 480% year-over-year and this most contributions will come from the new product category that we're building, our long-term investment. Currently we do not disclose separately on the financial services and other transportation tickets, but these are all put into the other revenues. You can see the other revenue has grown very, very strongly and we expect in that portion from other revenue continue to grow at a rapid pace going forward as we have more long term investment to monetizing our overall traffic.
Evan Zhou: Got it. Thanks Conor. Second quick question is regarding the big side of the guidance I think if you look at the quarter-on-quarter see the netting, I think it's probably a little bit weaker than the previous years. So I was wondering like if you have any color on 4Q guidance? Is it possibly due to the recent events in Europe or any other specific regions? Thank you.
Conor Yang: Yes, our guidance is the same as our guidance in the first quarter and second quarter this year. The reason terrorist attacking in Paris we do see definitely the sudden impact in very short term, but over and over time has proved that we have covered 140 countries worldwide and there will be certain thing happen from time to time in like Thailand, even the Maldives few weeks ago and also Europe but these have proved to be short term. Even we've experienced that, so currently yes, there are certain events in Europe and so we try to be conserved in our guidance. So 95% to 100% we think it still provide a very robust growth.
Evan Zhou: Got it. Thanks for the color Conor. Very helpful. Thank you.
Conor Yang: Yes. Thank you.
Operator: Our next question is from Amanda Chen from Morgan Stanley. Please go ahead.
Amanda Chen: Hi. Good morning, Donald, Conor and Maria. Thank you for taking my question and congrats on the strong quarter. So my question is regarding our SG&A, I think if you supply some air ticketing and hotel resources, but recently our major competitor, they also will increase investment in the packaged area. So I was just wondering how this will impact the overall competitive landscape of the packaged tour area and shall we expect more aggressive pricing strategy or more aggressive pricing in this area, that's the first point. And the second point is can you give us some updates regarding your strategy of the hotel and air ticketing business. We know it's increasing and growing very fast, but in future are you going to expand this business aggressively? Will you sign more suppliers and increase your offline sales people to do the hotel business and compete with other online travel agents? That's my two questions, thank you.
Donald Yu: Now to answer your first question we don't think pricing is the most important thing for our price to package, More importantly if the overall service, the branding, the trust and the supply chain management, even though we're very competitive on the pricing, we continue to differentiate ourselves in terms of service to our customers in terms of our branding trust and supply chain management. And we think that the challenge is really how to provide -- continue to provide better service for Chinese customers upon a travel, that's the first question. And the second question? For our air ticketing and hotel booking as more like first of all that's are service purpose of our leisure travel package and as we do more procurement that air-ticketing we will do more with the directly with the airline companies and also hotels. So, these two channels that will enhance our capability for the procurement and also as we continue to build our traffic that we want to further monetize our traffic. And so we use like the open platform for air-ticketing and hotel booking as estimated like a JD.com’s open platform so currently supplier including features and do others will continue to connect with other suppliers for air-ticketing and hotel bookings.
Amanda Chen: I have a quick follow up. How does it fell – how is a relationship with over existing strategy shareholders like Ctrip and eLong. So how we will continue collaborate with this to shareholders.
Alex Yan: You mean at Hainan investment.
Amanda Chen: Yes.
A – Alex Yan: We’ll continue to have a good relationship with Ctrip, continue definitely good relationship with JD.com. They have been helpful and very helpful to our peers and continue to be supported with this investment from Hainan our airline growth may from the beginning the Hainan Group Airline want to do this transaction by itself and it has paid a premium to our current share price as well as the more than 11% premium of our overall last 20 days trade in prices. So therefore they just want to do this whole transaction by themselves without other shareholder to do the follow-on. So that’s why Tuniu invest by Hainan Airline Group not the other partners but we still have a very good relationship with JD.com and Ctrip. Thank you.
Amanda Chen: Got it. Thank you very helpful. Thank you.
Operator: The next question is from Eddie Leung from Merrill Lynch. Please go ahead.
Eddie Leung: Hi, good morning guys. Just a couple of housekeeping questions. I guess most of them could be directed to Conor. My first question is supplier financing business. I’m just curious how and when you - that produce for your - perhaps loans to your customer suppliers so that’s my first question. And then secondly the two remainders, the number of headcounts and what’s you plan because I think you mentioned a couple of times in your opening remark that you would be growing your headcounts for your regional expansion. And then finally we ended – shipping we are from temporary issue but could you remind us how better is Euro for your business, perhaps at the movement. Thanks.
A – Conor Yang: Eddie, I missed your third question, can you say it again.
Eddie Leung: Conor, it’s just like how big is Europe for your current business thanks.
A – Conor Yang: Yes, okay. We have like financing to our supplier that’s what our financing to our customer and also our customer buying our wealth management products. So for the supplier financing actually that will be a deduction of our total revenues because these are our suppliers, we charge them interest and that will be due in the period for example during the third quarter how much interest we have generated from suppliers that's why we booked the deduction of the cost of revenue. Also for our customers buying, our wealth management products again we booked the revenue which is the interest generated during that period of time that by our customers such as in this product. In the meantime, we have a cost associated to these firms that would be also a part of the cost of revenues items. So in general these both are suppliers and our customers that we booked during - when this period happened the interest generated in that period. And in terms of our headcount yes right now in terms - we have continue to invest in many long-term areas such as new product categories in air ticketing, hotel booking, allied financial services and we have seen - also direct procurement and that has generated very fruitful return we have seen so far and we expect that will generate more in the future. So even though we see the headcount has increased within - investment worthwhile to invest and currently we have 5600 people in our company. So these are more mature business we are stepping the headcount increases last - slower than our top line growth for the new initiatives we need to do the longer investments. In terms of Europe, Europe has become an largest area of our business. In this quarter the GMV coming out from Europe is about 17% of our total GMV.
Eddie Leung: Thank you very much.
Operator: Our next question is from Juan Lin from 86Research. Please go ahead.
Juan Lin: Hi good morning Don, Conor, Alex, and Maria. Thank you for taking my questions and congratulations on another very strong quarter. My question - first question is related to the take rate now that direct procurement has accounted for 30% of total GMV, take rate has improved sequentially, how much do you think your take rate and the gross margin will rate next year. And then more importantly could you please remind us the long-term target for your take rate and whether there is any change in your long-term targets for gross margin? And my second question is related to the Hainan Airlines Group investment. In addition to procurement, are there going to be more synergies with Hainan Airlines Group in terms of products, sales and marketing and whether there will be operational synergy with that going forward?
Conor Yang: Yes the take rate yes as we do more and more direct procurement in the short-term we will have a small improvement due to the size of each of our package tour. As we continue to grow very fast that will be increasing size for each of the product lines that we’re doing on direct procurement. Even though we don’t give guidance on our margin in the near term but in the kind of longer term we think our take rate from GMV should increase like 10% as we do more direct procurement as we continue to scale up. In terms of the Hainan Airlines, I will let Alex to answer this.
Alex Yan: As we do more direct procurement important is for departing – transportation to destinations. In terms of departing city we have 140 plus regional service centers and we have to spend a lot of effort including this. And next year we will focus a lot on the destination area and how we need really is connecting this two which is the airline ticket, so we’ll have a lot of corporation with Hainan Airline Group in terms of air-ticketing and area such as Mauritius, Europe and also like the domestic like Hainan Shengda they will - providing very useful and important resources for air-ticketing for us. And as most of you probably know Hainan also a majority shareholder of the Kaisa Tourism group, Kaisa has very good product and through this investment relationship with Hainan Airline Group, I think we’re also in talk with them to sell Kaisa product so we can at our line channel for Kaisa to providing certainly more product to our customers.
Juan Lin: Thank you, Conor. That was very helpful.
Operator: The next question is from Tian Hou from T.H. Capital. Please go ahead.
Tian Hou: Good morning management. Congratulations on the good quarter. I have a several questions, one is - the first part of questions related to your direct procurement. So as your procurement increase, I wonder what's your plan for this part of business as a total percentage of the business such as by the end of 2016, what you expect in direct procurements as a percentage of total G&A, that's number one. And also related to that and as direct procured the resources, the inventory is there a potential risk of inventory risk that is number two. Number three, as you have more direct procurement product will there be a potential conflict of interest with the other services provider that is the question related to direct procurement and the other question related to your cooperation with JD and I wonder if you could give us some color on your cooperation with JD, what is the progress have you been making and what's next that is all my question.
Alex Yan: In terms of direct procurement end of 2016 which we increased from currency about 30% of our GMV from direct procurement to about 40 to 50 and probably was 50% from direct procurements. And yes there will be more inventory risk associated with the less procurement and therefore to mitigate this inventory risk, we have the following firstly from third quarter this year we have partnership of our wholesale channel that we are also providing B2B to serve our direct procurement products and also we have build up VIP team to service our existing customers. So whenever we have our own products we sell through our C channel, we sell through B channel and as well as we have our VIP that we can sell to our all customers. And this year we also strengthened our IT systems in terms of the inventory system that will enhance to - that we can real time check-in inventory numbers and there is automatic pricing system and also as we continue to invest in our branding as we - for our trends whenever we have our own products we can easily digest it, it's part of line to our customers. In terms of the relationship with existing suppliers, this year we have -- well a few weeks ago we just have the Suppliers Annual Meeting as we demonstrate that there are a lot more suppliers that in terms of numbers that annual transaction with more than RMB100 million and also that more than RMB50 million, many categories that number of suppliers have increased. That means even though we have more direct procurement of ourselves, but as we grow rapidly, the amount of business given to our suppliers actually continue to increase. So we will still definitely keep good relationship with our suppliers and we'll maintain probably 50% of GMV also from our wholesale suppliers. In terms of JV, development has continued to go well and we not only -- and starting from offering just packaged tour products and now we'll start to open more and more product categories in JV channel, we're offering tour attraction tickets, we're offering our high speed railway tickets as well as air ticketing and hotel booking and we're happy to see the development. Okay. Thanks.
Tian Hou: Thank you so much.
Conor Yang: Thank you.
Operator: [Operator Instructions] There are no more questions at this time. We're now approaching the end of the conference call. So I would like to turn the call back over to Tuniu's CFO, Conor Yang, for closing remarks.
Conor Yang: Once again, thank you for joining us today. Please don’t hesitate to contact us if you have any further questions. Thank you for your continued support and we look forward to speaking with you in the coming months. Bye, bye.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect and have a pleasant day.